Brian Cassin: Good morning, everybody, and welcome to our first half results presentation. This was another good set of results. We had strong organic revenue growth, and we have a lot of progress in a number of areas. Now we've made exceptionally strong progress in North America, with growth across all fronts. In Latin America, firmly back into double-digit levels of growth. Brazil, in particular, exceeding our expectations. We see great momentum continuing in new product introductions. And the standout this half has really been Consumer Services, especially in North America. Experian Boost had a tremendous start. We're seeing really strong growth in identity and lead generation, and we believe there's plenty more to come. So overall, it's been a great start to the year, particularly in consumer credit. Actually, we're seeing volumes in our consumer credit businesses are strong across the whole -- all regions, and at the same time, we're successfully scaling a range of new products across the globe, and all of this gives us great confidence as we go into H2. As you can see from this morning's announcement, we've slightly raised our guidance to the upper end of the growth range that we gave you in May. Okay. As usual, Lloyd will go through a lot of the details shortly, but I'll just pick out a few highlights. So we delivered 7% organic revenue growth in H1. That represented 7% in Q2, an acceleration from Q1, which was 6%. Total growth in the half was 8%, which reflects the impact of acquisitions. The momentum in our B2B business continues to be very strong, up 6% globally. Data, in particular, was the real driver of that, which performed well across all territories. Decisioning was a slight weak spot in the half, it was mainly due to strong comps and some uncertainty in the U.K. The Consumer Services business overall grew by 11%, with North America accelerating to 13%. A number of things driving this. As I said earlier, Experian Boost has been really an outstanding success so far. Our lead generation revenues across our consumer businesses are 4x higher than this time last year, and we are proactively investing to support this. You'll see that in Lloyd's presentation, we invested significantly behind the launch of Experian Boost earlier this year. But of course, it's not just the U.S. where we're investing. We've been investing globally. And to give you an idea of the rate of progress we now reach over 70 million consumers with free propositions, which is up by about 24 million consumers from this time last year. So it's very significant. We're very pleased with this performance. We have executed what I think is a very significant turnaround in Consumer Services over the past year, and we see more growth to come. It's also been a busy period for acquisitions, all of which significantly enhance our core capabilities, and we've done $181 million of buybacks as of the date of this presentation. In addition, first interim dividend has been raised by 4% to $0.145 cents per share. Okay. Just move on to some of the key points of the presentation then. You've seen this slide before, it really highlights the major strategic themes that we believe are playing out across all of our markets and this provides the framework about how we think about directing our efforts and our investments. All companies need to get better at acquiring, onboarding and managing customers in the digital world. They want to improve the experience for their customers through better, more targeted outcomes, frictionless on-boarding and improved propositions. They have to invest in technology and better business processes to achieve this. And to do that, they really rely on data, combined with sophisticated analytics and decisioning increasingly cloud-based. And of course, that all plays into Experian's strengths. We recognized these trends a number of years ago, and we've made a lot of investments to position the business well to take advantage of those. And that's really what's driving our success in the marketplace. You've heard about a lot of the products that we've developed, things like Ascend, CrossCore, Experian One, our open banking propositions, all of these are really aimed at those opportunities, and the take-up rates for those products has been very strong. Now we've developed these platforms as global platforms so they can work across our business, not just in different geographic markets, but also increasingly across different vertical markets. And I'll show you some of that in a moment. And I think the final point about this is the pace at which we've developed these products is really accelerating over the last few years, and that's really a reflection of how we've changed our business. Of course, it's actually consumers that are driving these trends. They want convenience. They want instant frictionless access. They expect extreme personalization. And they expect real value, and they're prepared to contribute their data in order to achieve that. And that's central to our strategy, and our approach so far has been unique within our peer group. I think you can see it's very clearly working in the U.S. and also in Brazil, and we expect it to be a feature in every major bureau market that we have. We've got great momentum in credit matching services as well as in identity monitoring propositions and a lot more to come, and so we're introducing this model as we -- across our territories as we go forward. In addition, I think all of you can see that the pace of innovation and product development has really changed significantly in Experian over the last few years. I want to take a moment just to talk to you about some of the investments we've made over the last few years to really enable that to happen. And the critical enabler of this has been investments in technology, we have been systematically revamping our technology estate in a thoughtful, measured way, which both enhances our competitive position and helps us manage the risk. We've focused first on the platforms that we really needed to build to enhance our product capabilities and give us the building blocks necessary to really introduce new products to market. And you're seeing, I think, the positive results of these investments. I've mentioned most of those before, Ascend, CrossCore, Experian One are all great examples of investment programs that we started many years ago. One of the other reasons I think why our Consumer Services business is doing well is also because we've replatformed all of those businesses, and the rate at which we can deploy new features and react to the market is very significantly up, and we do that now in a much more cost-effective way. The important point is that a lot of these technologies have been built leveraging some fundamental components, which I know a number of you have heard our CIO, Barry Libenson, talk about things like Data Fabric, Oxygen, platform as a service and the introduction of agile methodologies across the business have all been key fundamental components in helping that happen. And so while you talk -- you've heard us talk about that in the context of the new products I just mentioned, they actually also provide the components that we're using as the framework for bureau modernization, and we've been getting on with bureau modernization in the background. So for example, in Brazil, for the introduction of positive data, we have built a completely new bureau. That environment is live. It's fully up and running. It builds on those previous technologies I referenced, Data Fabric and our Hadoop cluster technologies. Also in Colombia, we've replatformed the entire Credit Bureau, again, using those module components, and we've done this for considerably less cost and in a much reduced time frame than would have been possible historically. So these architectures that we're using in Colombia and Brazil, the basis of which all bureau modernization is based, we've already completed a number of these, mainly in EMEA, and we commenced core modernization programs everywhere. What we have done over the last few years is build great standardization in the technology architecture, and that allows us to leverage investments many times over, and it's going to give us much greater flexibility in speed to market, faster to meet client needs, and these are just some of the benefits that we bring. And of course, for us, I think it's going to help us continue that road map of accelerated new product development and introductions and in helping us scale our activities globally. So this program is going to continue at pace and will be a focus for investment over the next few years. So turning now to the regional performances, starting with North America, which was up 10% organically. B2B growth was broad-based. We had strong growth in CI, BI, health, automotive, decisioning, all performing really well. CI was the star performer. We had great strength in our underlying volumes, combined with contributions from new products and new verticals, such as insurance and fintech. The Clarity business we bought a short while ago has performed very strongly. We're now bringing to market new scores, incorporating traditional bureau alternatives and trended data assets. Ascend has been a great success. I'll show you a slide on that in a second. We had fantastic growth and great client wins in fraud. And our health business continues to go really strongly in revenue cycle management, and we broadened our offer with a bolt-on acquisition there in MyHealthDirect. Consumer Services, as I referenced earlier, has a lot of momentum. So since March, when we introduced Experian Boost, we've had two million consumers connect their bank accounts to the bureau. We're now reaching the scale across our Consumer Services business to be a major competitor in the digital customer acquisition. And this actually makes us one of the largest -- second largest platform in the U.S. by the number of members, when you take account of the Boost and the free members that we have in the platform. Now as we anticipated, Boost has actually driven traffic to CreditMatch, so when consumers boost their score, they usually have some credit intent, and it's natural for them to want to explore our new current offers. And so as traffic comes into experian.com, it's not just actually giving us a lift on the lead generation side, it's really helping the whole ecosystem. So we're seeing a benefit across the whole piece in lead generation, but also what we're seeing is a slowdown in attrition in the legacy credit subscription revenues, which have also moderated quite considerably. So let me give you a bit of flavor on our progress with a couple of spotlights. So starting with the lead generation, you can see the approval rates on the right-hand side. This really matters to our lenders because we're now delivering traffic at scale. Our approval rates are incredibly high because of the accuracy of the data and the integration with the decisioning capabilities on the platform, and this really provides them a new way to prospect for customers through the CreditMatch platform, very significant. For consumers, we're investing to make that journey as easy as possible all the time, taking friction out of the matching process, enhancing that user experience and giving more people reasons to engage with Experian. Experian Boost itself has actually changed the perceptions of the brand. In North America, it's very, very positive. Consumers are saying great things about Experian, and our brand, that's also making a difference. You can see that in the sort of Google search demand chart on the bottom right-hand side. So we're very pleased with progress. I think it gives us a great platform and a great opportunity to build on this momentum in months and years to come. Okay. We talked to you a lot about Ascend, probably one of our most successful product launches ever. That continues. We now have several Ascend modules in market, and the total contract value has reached $270 million. So for example, we've recently launched a very -- a new and very exciting Ascend module for credit marketing, this is designed to help lenders with their credit marketing campaigns for new loans, and it really cuts down the time to design and execute a marketing campaign from weeks to days. We've always talked to you about the benefit Ascend brings in terms of shortening processes and helping people really work with data in a much faster way. And this completely changes the deployment model. Clients spend a lot less time on analysis, and they can cut out several aspects of the business process, so they can design their campaigns much more quickly and much more cost effectively. We already have 3 clients on this module. It will make a revenue contribution this year, and we're hopeful that this is going to be a significant growth opportunity for us going forward. Really, not just on that, but across all of the Ascend modules that we have. So great progress in the U.S. We're also in 4 countries now with Ascend in total, and we have another 5 to come where we'll be launching before the end of the financial year. All right. Just very quickly, we don't really often talk a whole lot about our U.S. auto business, but we did want to give you a brief overview because it's becoming a more material part of our business given the growth we've had over the last few years. It's not as large as health, but it's getting there. It is one of our top verticals. It's had great growth, great margins, and it's also a good example of One Experian in action. So it's grown to be almost a $200 million business, and it's been actually a very reliable and constant performer at all points of the cycle. So just a quick reminder, what do we do in automotive? Well, obviously, we provide the credit data for auto loans. But our strategy has always been to do more than that, it's been to marry that data with our extensive automotive databases so that we can make the link between the credit assessment of the individual with the worthiness of the vehicle for which the loan is being given. And from that, we build products for our customer prospecting, marketing, management and fraud. The client base spans many customer segments, lenders, dealers, manufacturers and marketing agencies, and innovation around the provision of core credit data and auto data really has been what's driven the growth in that business over many years, and it's been the linkage of many different Experian capabilities, building on top of that data that's expanded our addressable market. And on that point, we're really pleased to announce that we've launched the Ascend Sandbox in automotive. It's in market. It's going extremely well, and I think it's going to be a major factor in helping to continue our success in that vertical. And you'll have seen from the press release today that we announced a small acquisition in automotive. It's called Auto ID, and it's bolt-on, and it's really focused on the area of fraud in the -- fraud in used car auto lenders. So a good progress there and more to come. So turning to Latin America. We've had a very good performance here. Organic revenue growth, double digits, up 10%. Made great progress in Brazil, market's improving. We're seeing credit volume growth in a lot of new business, in particular, with large financial institutions. We've had a number of new products in market, just to the point we think where the economy is improving, CrossCore, Ascend, Experian One, all important new products that are in Brazil right now, launching in LatAm. And we also entered the auto vertical in Brazil earlier this year. And actually, we got off to a great start, looking very promising. Consumer business in Brazil has also moved strongly into monetization. Our membership has now grown to over 39 million members. I think that's very significant as we think about when we change into a positive data environment going forward gives us a tremendous advantage to take it to capitalize on that. And then elsewhere in Latin America, Colombia performed extremely well, some very good client wins. The bureau rearchitecture I mentioned earlier, we're about to go live on that platform, and we expect further benefits in terms of speed to market, new product capability as a result of that. So we have ambitions also to extend our consumer operations further in Spanish LatAm. We have a small but actually a very quickly growing business now in Colombia. Okay. So positive data has been a long time coming. I know some of you were sitting here a long time ago when we were saying positive data will be here next year, next year, next year. It actually is finally here. So that's something to celebrate. The banks have now started to send us positive data. Once we have all of that, we're then required to send a communication to consumers, and we'll be allowed to use the data about 60 days after that. So we should complete the implementation period by the end of December. And from January 2020, we'll start incorporating positive data in our scores. Now we expect to receive hundreds of millions of new data records from telcos, utilities as well as the financial institutions. So a very big expansion, and it's going to greatly widen access to credit in Brazil. So as I mentioned earlier, our technology platform is in place. To give you an idea of what we've built here, we're very pleased with it. We've processed our first 30 million records last week. It took us 18 minutes to do that. That is world-class capability. So we're in market with the technology that we need to really cope with the new environment. And our product strategy is also at a very advanced stage. Some of you will remember, a few years ago, we embarked on our own opt-in collection process, which gave us about 10 million consumers on positive data. That's enabled us to actually get a head start on what kind of products that we can build. We've obviously leveraged the global teams as well in bringing our capabilities to market. So in a test environment, we have a very strong knowledge of exactly what we're going to go to market with. We've also tested that with our customers, we think the reception is going to be very strong. And we are in advanced discussions with many customers. So we're positive about that. We're excited about it. We're ready and can't wait for it to happen. Okay. So the U.K. U.K. was flat for the half. It was a mixed performance. We did see weak demand in some parts of our B2B portfolio. Happily, first time for a while, been able to say, it was offset by an improved trend in Consumer Services. And the good news is that the Consumer Credit Bureau, in line with all of our bureaus across the world, performing very strongly. And we think we've strengthened our position in the marketplace. We now have several clients on our open data platforms, and we have real scale in personalized digital services for B2B marketplaces. Our marketing focused business, targeting, EDQ, and decisioning had weak first halves. Last year, we secured a number of big profitable decisioning contracts in the U.K. They've been difficult to lap recently. And recently, we have noticed a lengthening sales cycle in the U.K. for new products. Now that said, the pipeline is building, we do believe it's high quality. We've had several new wins for Experian One and CrossCore. And as I said earlier, I think this will probably be a better story for us in FY '21. Consumer Services has turned a corner. We're back to growth. Customer acquisition in CreditMatcher has been strong. We have higher visits, stronger engagement, and we're deploying new features on the new platform that I referenced earlier at a much faster rate, and we have a very strong product road map for the second half. Okay. EMEA/Asia Pacific delivered total growth of 5%. Organic revenue growth was down 3%. We had great progress in EMEA, which continues to be really solid, particularly on the data side. And here, we're benefiting from new technology and new products, which are really driving growth in the data businesses. We're executing on a global product strategy across both regions. We're bringing a platform successfully to market. Ascend, our open banking propositions, all have applicability, and we're going to be bringing a lot more product to market in the coming year. Pleased to say also that our acquisition of Compuscan in South Africa is performing extremely well. And as we look for -- we look across Asia Pacific, it will be the tougher half there as we lapped some really very big contract wins last year in marketplaces. We do expect this to recover as we exit the financial year, and pipelines in Asia Pacific are very strong, and we have a lot of momentum across our Bureau businesses in Australia and India, in particular. We have continued to expand our footprint. We've recently taken a controlling interest in RAMCI, a bureau that we had a minority stake in, in Malaysia, and we're seeing really good traction for some of our PowerCurve modules like PowerCurve Collections, which have been a big focus in that area, and we expect that to be a major contributor going forward. So with that, I'm going to hand over to Lloyd to take you through the financial review.
Lloyd Pitchford: Okay. Thanks, Brian. Good morning, everyone. I'll start as usual with an overview. As Brian mentioned, we've had a good first half, sustaining the high rates of growth and performing strongly in our largest markets. And as expected, growth accelerated in Q2, reflecting particular strength across the business in North America and an improving recovery in Brazil. The B2B portfolio delivered another good half, with strong progress across a range of new products, and our innovation investment program, which underpinned this revenue growth, also delivered strong growth across our global sales pipelines. And Consumer Services continued to accelerate, with great momentum behind our new consumer products and in our Partner Solutions business. And with the strong momentum that we've seen in the first half, promising new business pipelines, we've raised the organic growth guidance for the full year to the top end of our previous range, now 7% to 8%. And you've seen we've invested strongly behind Experian Boost and global scaling in the first half, so our margin cash flow will be a little second half weighted this year, but our full year guidance is unchanged. Turning to the highlights. After a 6% organic growth in Q1, we delivered that good momentum into Q2 with 7% in the second half. And with that being a good 7%, it was also 7% for the half as a whole. Total revenue growth at constant rates was 8%, benefiting mainly from the Compuscan acquisition and FX in the half was a 2% headwind. Growth in nominal benchmark EBIT was also good, up 6%, and we invested behind Experian Boost with the first half launch costs incurred during the half, which I'll cover in a moment. We also saw increased depreciation from our technology and innovation program, and overall, in the first half, average group margin was 50 basis points lower at constant currency. And excluding the one-off launch costs, margin was slightly higher in the first half, and the guidance remains for modest margin expansion for the full year. Benchmark EPS growth in the half was 3% at constant currency and 1% after the FX drag I mentioned. Cash conversion from EBIT was 51% in the traditionally weaker first half, with the phasing of payments a little more weighted to the first half of this year. And for the full year, we continue to expect cash conversion to be around 90%. And finally, the board's approved a 4% increase in the first interim dividend. On to our usual organic trends. Charts on the left, you can see the trends in the global revenue growth, with a sustained mid- to high single-digit group organic revenue growth performance. And on the right, you can see the picture for the Global B2B businesses where we've had organic growth across the portfolio, now consistently strong with 19 consecutive quarters of mid- to high single-digit growth. And you've seen from Brian on the consumer side, the very strong momentum that we have in our operational metrics. And here on the chart on the left, you can see how that's translated into strong financial progress. Organic revenue growth in the first half was 11%, 16% in the second quarter, which was helped by the great progress we've had with Experian Boost in North America and the return to growth in the U.K. consumer business. And we also continue to make good progress in the breach support business, which by its nature, could be a little lumpy. You'll recall that we called out a one-off contract in the third quarter last year that added around 5% to the U.S. consumer business. And in the second quarter this year, we had a similar one-off contract, which contributed about the same amount, which you can see highlighted on the charts. And looking ahead to Q3, obviously, our third quarter results for the consumer business will reflect the lapping of that one-off. And on the right-hand chart, you can see how the strong progress we've made with some of the new product introductions are helping to diversify the shape of our consumer business, both in North America and the U.K. And not only are we seeing strong growth from those new products, but the rapidly scaling consumer relationships are helping to drive cross-sell opportunities and also increasingly supporting our B2B business with enhanced data assets. Turning now to the regional results in a little bit more detail, where I'll comment on the performance at constant currency. In North America, you've seen a strong performance. We continue to deliver organic revenue growth of 10%. In data, there was strong growth from the consumer information market, driven by growth in core profiles, with a small tailwind from higher volumes in mortgage and great momentum in Ascend that you saw in Brian's presentation. Auto also performed strongly, growing double digits as it benefited from strength in our automotive Ascend module and our auto dealer marketing product auto audience. There was also good growth in our decisioning business. We continue to grow our PowerCurve pipeline and saw really strong growth in CrossCore. It was another good half in the health business, with very strong growth across coverage discovery, patient engagement and claims. And in Consumer, as you've seen, we had great progress with considerable strength across our B2C portfolio, both to the traffic and engagement, driven by the investment in the launch of Experian Boost. You'll recall that last year, we said that revenue from the 2 products, identity and lead generation, was $80 million for the year as a whole. And we've recorded $80 million of revenue just in the first half of this year. So that outlines some of the great momentum we've got in those 2 new products in North America. And we also saw good growth in partner solutions, the B2B2C business, and our contribution from the new acquisition, AllClear ID, which provides breach and pre-breach preparedness and resolution services. So if you tie all of that together, for North America, you can see the revenue growth translated into strong EBIT growth. We reported a 20 basis point margin progression as operating leverage in the B2B business added around 110 basis points, which more than offset, at the North America level, the significant one-off marketing expense to launch Experian Boost. Turning to Latin America. For the half, the region grew 10%, with Brazil growing double digits in both quarters. That's 3 quarters of double-digit growth now in Brazil, and FX was a 6% headwind in the half overall. There's good growth in data across both consumer and business information in Brazil as we saw strong growth from our banking and credit union clients. And in our consumer business in Brazil, we continue to invest strongly behind the expansion of the consumer membership base in advance to the move to positive data. We currently report the Latin America consumer business within data, and it performed really strongly, more than doubling in size as we monetize our growing free membership base, with particular strength in the Limpa Nome and eCred product lines, and we think we have an exciting story to tell you about that over the coming years. Margin reflected operating leverage in the core data business in Brazil, offset by investment in the consumer business and as we invested behind preparing for positive data. Moving to the U.K. and Ireland, where organic consumer growth was 3% for the half overall, and B2B was 1% lower. Total organic growth for the region was flat, and FX was a 6% drag to revenue in the half. In data, there was good growth in the core consumer information bureau business, which was up 11%, and this reflected strength in prequalification services as well as a growing contribution from affordability services through our open data platforms. This was offset by weakness in marketing data and automotive business in the U.K. Decisioning improved to a low single-digit decline in Q2 after lapping the strong comparatives in the first quarter, and we continue to see the effects of U.K. political and economic uncertainty with delays in clients' new product investment decisions and, therefore, expect U.K. decision growth to continue to be restrained in the second half. Consumer Services delivered organic growth of 3% for the half, driven by very strong growth in our marketplaces business, which more than offset the decline in our traditional subscription business. And we expect low single-digit growth to be sustained in the second half, with upside coming alongside new propositions as we enter the new year. And overall, EBIT was down 20% to $75 million, reflecting the decisional -- decisioning revenue decline, combined with increases in depreciation on our investments in the new consumer and digital platforms. In EMEA and Asia Pacific, we continue to reflect strong comparatives in Asia Pacific in the prior year, and we declined 3% organically for the half. The data business performed well across our bureaus with good growth in EMEA and Asia Pacific, in particular, strength in India, Australia, Italy and the Nordics. Decisioning was down 12%, driven by tough prior year comparatives in Southeast Asia and the marketplace deals that we secured last year. And we've got, as Brian mentioned, really good line of sight on a very strong pipeline in APAC, and we expect to see that translate to improving growth rates as we exit this year. And EBIT growth overall reflected a good contribution from Compuscan and organic operating leverage in EMEA across both data and decisioning, partially offset by the effect of the Asia Pacific decisioning headwinds. Onto benchmark EBIT margin for the half and looking at the key drivers. I'll walk you across the story here. So if you adjust for a small disposal and also the impact of the IFRS 16 accounting change, you see that the restated prior year margin is 27.6%, and that IFRS 16 benefit, as I outlined in May, is fully offset in an extra interest charge. We had good operating leverage in the half, which more than offset the expected headwinds from the increase in depreciation, our global scaling costs and our investments behind preparing for positive data in Brazil. And overall, this underlying performance contributed a net positive 10 basis points for the margin -- to the margin for the half as a whole. And during the half, we've invested in one-off launch costs for Experian Boost. And as you can see, this had a one-off drag in the half year of around 80 basis points, which won't repeat in the second half. Turning now to half year EPS. If you start with first half '19, the benchmark EPS was $0.487 per share and growth in benchmark EBIT from continuing operations was 5%, reflecting the organic growth performance. Interest expense increased to $66 million as a result of higher average debt and the IFRS 16 interest charge offsetting the EBIT effect I mentioned earlier. The tax rate was 26.2%, reflecting the mix of our profits and prevailing tax rates by territory. Noncontrolling interest was $3 million for the half, reflecting the strong growth in our micro-analytics business. And now that we've acquired the rest of that business, the second half noncontrolling run rate will reduce to around $1 million. And we saw the benefit of the share repurchase program, with weighted average number of shares at 903 million. So for the half year, EPS was up 3% on a constant basis and 1% at actual FX. Looking at our usual reconciliation to statutory results. You can see that acquisition-related items increased slightly from $9 million to $15 million, consistent with the increased acquisition activities during the half. Exceptional items included a gain from a business disposal within our cross-channel marketing associates, offset by some movements in legal provisions, and that nets overall to $1.5 million, and noncash finance remeasurements reduced slightly to $58 million -- to $51 million. So statutory profit before tax was $480 million, also up 2% on the prior year. Turning to the cash flow performance. Our conversion rate of benchmark EBIT into operating cash flow was 51%. Half 1s are a seasonally weaker half of the year. And this year, the timing of cash flow is a little bit more second half weighted, and you can see an explanation of that on the right. The first thing to note, there was an 11% reduction to cash conversion in the half from higher employee incentives related to last year's performance but paid in this first half. And as these are paid in the first half, the impact on the full year conversion will be about half that number. Also, compared to last year, we expect CapEx to be a little bit more first half weighted this year within a 9% to 10% range, and there was a further 5% timing on the mix of working capital, including the effects of the Experian Boost launch, which we'd expect to reverse in the second half. So overall, with the timing elements broadly reversing in the second half, we continue to expect our full year cash conversion to be around 90%. And on to the balance sheet. We ended the half with net debt of $4.1 billion, up $798 million from the start of the financial year, really reflecting the acquisitions we made during the half. And our net debt-to-EBITDA was 2.4x, within our 2 to 2.5x guidance range. And with cash flow weighted to the second half as usual, I'd expect this to come down a little within our guided range by the end of the year. Brian talked about our investments in technology. So this slide shows a view of our CapEx versus this time last year. As I mentioned in our May presentation, we continue to invest in our technology and innovation agenda, with proportionately more of our capital investment being into growth-orientated infrastructure and product development. And as you can see from the chart on the left, most of the increases come from product development as we look to further invest in products such as Experian Boost, additional Ascend modules and to scale the innovations that we brought to market in certain countries globally. Depreciation and amortization increased in the half, reflecting the investments that we've been making in new products and which are supporting our high rates of growth, and we'd expect to see this trend of increasing depreciation continue for the next few years. Acquisitions and investments, you can see we've had quite an active first half with a number of acquisitions completed. As you know, we completed the acquisition of Compuscan early in the year, and the integration of that business is going well. We also made a number of smaller acquisitions in the half. We increased our stake in Experian MicroAnalytics, the driver behind the marketplace's products as well as a number of other bolt-ons, which give us capabilities like Castlight in open banking and MyHealthDirect in patient scheduling. In addition to those acquisitions in the half, we've also made a number of strategic minority investments, particularly in the Asia Pacific region, and these include the investments in Grab, Southeast Asia's leading everyday super app and CompareAsiaGroup, one of Asia's leading financial management platforms for banking and insurance-related products. And if you take all of that together, we made acquisitions and minority investments in the half of $499 million. And as Brian mentioned, after the end of the half, we also made 2 further acquisitions. We took a controlling interest in RAMCI, the credit bureau in Malaysia, which further expands our position and presence in Malaysia, giving us access to unique data assets in a strategically important country for us. And we all acquired Auto I.D., which strengthens our product offerings in Experian Automotive and supports our further penetration across our lender base. Now on to some modeling considerations, many of which I've covered during the presentation so far. So we've raised our organic revenue guidance for the full year to the upper end of the previous range. So we now expect organic growth in the 7% to 8% range. The acquisitions of AllClear ID, Compuscan, MyHealthDirect, RAMCI and Auto I.D. will together add a further 1% to 2% of revenue for the year as a whole. We continue to expect EBIT to grow at or above revenue growth, with another year of modest margin progression, as we continue to invest in technology, new product innovation, global scaling and also growing our consumer businesses. We now expect interest in FY '20 to be around $130 million, reflecting lower market interest rates than the time we guided in May, but partially offset by the additional investment we've made in acquisitions, and the $130 million includes the $10 million noncash effect from introducing IFRS 16. The benchmark tax rate, continue to expect that to be around 26% and the cash tax rate to be in the low 20% range. And due to the minority acquisition of the minority share in Experian MicroAnalytics, we expect the full year noncontrolling interest charge to be around $4 million. Taking into account the effect of the share repurchase program, we'd expect shares to be in the region of $900 million for the full year, and we're just under halfway through completing that program. And we expect CapEx to continue to be in the 9% to 10% range. FX, obviously, has been volatile for the last few weeks, but we'd expect it to be somewhere in the 1% to 2% range versus the 1% that we gave at the time of Q1. So to summarize, we've delivered good momentum, as expected in the first half, with strong growth across our B2B and particular strength and momentum in our consumer businesses. And with good momentum and a strong sales pipeline, that's given us the confidence to raise our full year outlook to the top end of our previous range. And while foreign exchange continues to be a small headwind, we continue to see good progress in EBIT and modest margin progression for the full year and strong progress in benchmark earnings all at constant currency. And we'll continue to apply our capital framework as you've seen us do and continue to invest where we see opportunities to add value to the business. And with that, I'll hand you back to Brian. Thanks.
Brian Cassin: Okay. Thanks, Lloyd. So I'll bring this section to a conclusion, good progress year-to-date, plenty of growth opportunities ahead. As you can see, over the last few years, we've made a lot of investments, and we're executing successfully. A lot of investment in technology we think have rejuvenated the company's ability to develop innovation at scale. And we're also really pursuing a number of opportunities, which are scalable global platforms, Boost, Experian One, Ascend, CrossCore, open banking. These are really big opportunities for us that are just in their infancy today, and they play into the big trends of digitization and convenience, consumer convenience we talked about earlier on. We do think our approach, particularly in the consumer side is unique in the industry. It's making a difference to our performance. As you can see, it's also making a difference to our brand perception in the markets that we operate in, and we feel good about the position that we're in for the rest of FY '20 and the opportunities for continued growth as we go ahead. So with that, I will draw this part of the presentation to a conclusion. We ask Kerry to join us on stage, and we'll open it up for your questions. Thank you.
A - Brian Cassin: Okay. We've got Paul up front here, left.
Paul Sullivan: Okay. A couple for me. Firstly, on margin, isn't there always going to be an Experian Boost? So sort of -- I know it's particularly large, but why call it out? And more generally, could you talk about the trade-off between growth and margin? And whether given the investments going through the business, whether modest margin expansion is sustainable or even desirable going forward? And then in terms -- and then secondly, on Ascend, could you just sort of give us a sense of the opportunity that lies ahead versus what we've seen to date? And is this product capable of scaling to $500 million or perhaps $1 billion?
Brian Cassin: A number of questions there. So I certainly hope that we have many more Boost products to back going forward, that's the idea. There's no change to the margin framework that we've been operating under for a number of years. I'll let Lloyd comment on this in a second, but our philosophy has always been to invest in the opportunities we have in the P&L. You've seen that in the new products. You've also seen that we've been reengineering our technology platform, not something that we've talked about in great detail before. All of this, we've done within our margin guidance. We believe that we want to invest in growth opportunities across the business. We also believe in the discipline of making sure that's profitable growth. So, there's a risk element to that in terms of how many things you can pursue in any particular point in time, and we try and give us ourselves the flexibility to make these investments while continuing to manage for profit, which is ultimately what we want to do.
Lloyd Pitchford: Yes. So I guess, why call it out? It impacted our margin in the half, but it was always part of our plans when we guided to modest margin progression this year. There are always things that we're investing in. We mentioned also the investment behind effectively launching a brand-new bureau in Brazil. We managed that all within our margin guidance. The way I think about these rates of growth, we have lots of options. Our first port of call is always to invest, to create value where we can, but it should mean that we can continue to get modest margin progression at these sorts of growth rates.
Brian Cassin: And on this end. Yes, I mean, you can see that the total contract value is building very significantly. We are very excited about the opportunities that we have. We've really only started in countries outside the U.S., most of that contract value is in the U.S. You can see that we continue to innovate in the platform. We have always said that we do not think that we're going to be the only people in market with a product like Ascend forever, and so we continue to push the boundaries of what we do with that product and that capability. This is already getting to a point where in a few years' time, you can see this being as big as our decisioning business alone. So the numbers that you threw out, they're not unrealistic. Obviously, we have to deliver against that, but I think we're very confident in the product capabilities that we've developed, and we're very comfortable about the opportunity. So we expect to continue to grow strong in that.
Lloyd Pitchford: I think the other thing, Paul, when you have products like Ascend is it changes the nature of the dialogue with clients. They're looking to partner with companies and suppliers who are investing strongly behind innovation, bringing products that can really change how their competitive position is in the market, and we're really seeing that. The nature of the conversations has moved on tremendously with products like Ascend.
Brian Cassin: Another one in the front here.
Alex Mees: It's Alex Mees with JPMorgan. Three, please. Firstly, just with regard to Experian Boost, given how successful it has been in the U.S., can you just give a sense for the potential you see for the product outside of that market? Secondly, in the U.K., the delays that we've talked about with regard to decisioning projects getting over the line. Do you see this as something that if there is resolution in the political situation that, that will come back? Or is there something more structural in terms of where people are looking to invest? And finally, as we move into a positive data environment in Brazil, can you give a sense of the sort of products that you might be launching to take advantage of that, please?
Brian Cassin: Okay. Right. So let's deal with those questions. So Experian Boost, we do intend to bring it into other markets, and we haven't announced exactly when but we -- no surprise here that we expect to introduce that in other major bureau markets, starting with the U.K. So that will be in the not-too-distant future. . Moving on to U.K. decisioning. I think there are 2 aspects to this, as we highlighted. One, if you look back over the last few years, our decisioning business has grown extremely strongly. We had a very strong year in the U.K. last year, so we're lapping that as part of it. We think our pipeline for what we sold in the last few years is not as strong going forward as our originations and PowerCurve modules, largely because -- actually, we've already been very successful with that. So a lot of our pipeline is really on new products, Experian One and so on. So we've seen some, I think, delay in actioning on those, but I think as we highlighted, the pipeline is building and is strong for those products. So we think that there will be opportunities as we go ahead. That may take a little bit longer. I think some of the uncertainty in the environment is feeding in some of those decisions. So I think that's how we'd characterize it. Would you add anything to that?
Lloyd Pitchford: No, I think you've covered it. So it's a little hard to call the exact timing, but -- so we probably think it will continue to be a little suppressed, the second half of this year, but we think FY '21 will be better.
Brian Cassin: And then, Kerry, do you want to talk about positive data?
Kerry Williams: Sure. I think the three initial product areas that we'll be looking at, first, obviously, just the expansion of the core credit report and what that's going to mean in terms of consumers. I think you saw in some of the slides, we have roughly 63 million consumers on the negative bureau today. We've got another $12 million on the positive data file where we've collected the consents. The expansion into the consumers now with positive data will be greater than $150 million. So just the expansion of credit into the Brazilian market will be the first major area that we're focused on. The second will be account management capabilities. We've also started selling Ascend into the market now -- the ability for the banks to be able to take this new source of data and to be able to not only analyze it in the way that they need to, but to use it in credit marketing opportunities or other uses. And the third will be triggers, trigger-type products. So the expansion of credit's related to that, but the information on the file will obviously allow the banks to accept triggers and to be able to take actions to increase credit limits or do other type of actions on there. And those are three kind of bread and butter product capabilities that we would see to expand in the Brazilian market from day 1.
Brian Cassin: Okay. We didn't have a lot of people dialing in today. So we've got a question on the conference line. We have a question online? No? Okay. In the audience? Andy at the back then? Or in the middle?
Andy Grobler: It's Andy Grobler from Crédit Suisse. Just two, if I may. You had a very long list of things that are going well, which is great. And apart from a bit of U.K. political uncertainty, what are the areas that aren't quite going to plan at this stage? Would be first. And second, within lead generation, as you really kind of gain scale in the U.S. and gaining more scale in the U.K., are you getting more pricing power? Can you push pricing up to the lenders? Or is that a relatively static event at the moment?
Brian Cassin: All right. Kerry? What's going wrong? I think was the question.
Kerry Williams: So we have too many opportunities with our new Experian One platform and our ability to produce the development, to take advantage of those opportunities globally as fast as we would like to. That's one of the things where we would like to be able to improve upon. We've launched the Experian One platform in all the regions across the globe, and we have a series of use cases that are designed around acquisitions or account management or collections, a variety of use cases. It's just the ability to get those out the door so that we can sell them and keep up with the demand that the clients are actually giving us. And further to Lloyd's point around decisioning in the U.K. market, the U.K. market's actually had the best success with the launch of our Experian One platform so far, so that gives us confidence that we will -- we're just in a bit of a lull with the traditional PowerCurve type platforms in the U.K. moving those over. So I think that's one of the areas where we have a desire to do a little bit better. I think another area is our ability to take advantage of the consumer opportunity that's in front of us and how do we make the right choices in these developing markets, whether it's Colombia, Brazil, what's going on in India, putting in more capital to India, given how it is now starting to scale and scale in a robust manner and really starting to achieve the vision that we had many years ago with the investment in India. How do we put our dollars to work there, how do we further take advantage of the consumer opportunities in the U.S. and the U.K. and to be able to capture the opportunities there. So by and large, our focus is on how we can produce more throughput into our capabilities in various markets, and that's where we spend a lot of time and effort internally trying to figure out how we're going to do this better. We have, right now, we have much fewer areas, or very few areas where we're simply looking at how do we deal with a specific problem in this area. So it's our constraints around throughput and the ability to get the capital invested and produced into capabilities quickly to take advantage of the opportunities that are staring us in the face of these markets.
Brian Cassin: And let me just come back on the lead generation point. I don't think that it's really about pricing because actually, there's plenty of revenue available in the marketplace. There's a lot of growth there, so I think that the revenue that you get for the lead generation business for customer acquisition is very strong. So it's not really, again, about pricing. It's actually, again, about getting traffic in and producing larger volumes of qualified leads for financial situations, which they're hungry for. So I think that's where the growth comes from, not really a pricing game. Okay. Just go to Ed, and then we'll go, Tom, after you.
Ed Steele: Ed Steele from Citi. A couple of questions, please. Firstly, thank you for the pie charts on Slide 17. It looks like, I may have got this wrong, but it looks like the U.K. lead gen B2C business has -- it started a lot later than the U.S. one, but it seems to have got more traction more quickly than the U.S. lead gen business relative to the size of the market. Yet looking at the matrix of the divisional and geographic profit margins, it looks like the U.K. B2C business, its margins are doing worse than the U.S. So could you sort of talk around that comparison, please? And then just on -- back on Boost, you say the launch costs won't repeat in the second half, are those launch costs mainly marketing? I've seen lots of adverts in the states about Boost. So are you saying you're going to pull back on marketing because you've hit that penetration point? And are you not concerned that it may be more sensible at this point just to really go for it, given it seems to be going so well?
Brian Cassin: Okay. So let me deal with the point about lead gen in the U.K. first, and I'll hand over to Lloyd for the margin point. Actually, we started lead gen in the U.K. before we did the U.S. And if you look at how that business has grown, it is actually -- I'm pretty sure it's the fastest financial services lead aggregation platform in the U.K. So we've gone from nothing to being #3 in the marketplace in the space of two years. So I think that gives it -- two and a bit years. I think that gives you an idea of the capabilities that we have. Obviously, we have invested behind that, and so that's -- I think we're very, very proud. The team has done a great job there. By the way, when they started it, they actually didn't even have the new technology platforms, so really, what we're starting to see now is the new technology platform is fully operational. And them being able to pull a lot more levers in the business that they couldn't do three years ago. So I think it's a good story, and I think we have plenty of growth opportunities ahead of us. In terms of the margin point, do you want to comment?
Lloyd Pitchford: And just one further on that. I think if you -- the difference on the chart said is if you take out the Partner Solutions business, which is big in North America, I think that split might look a little different.
Q - Ed Steele: I just assumed that ID and lead gen were fairly equal weighting in the U.S. pipe. So that's how I came to that conclusion. Or you don't have ID in the U.K.?
Lloyd Pitchford: Yes, that's right. But if you look at the actual nominal size, lead gen business in the U.S. is bigger. And so I can -- maybe offline, I can walk you through the numbers.
Kerry Williams: There's a difference in pricing between the two markets that impacts the margin. What you can command in the U.K. for lead gen versus what you can command in the U.S. market.
Lloyd Pitchford: If you look at consumer overall, actually, the margin is pretty similar in the U.S. and the U.K. if you strip out things like the one-off revenue that we get for some of the breach support, which is at fairly high margin. So they're both pretty consistently in the 20% to 25%. And remember, both of our consumer businesses pay a royalty to our data business. So the contribution to the group as a whole is really very positive.
Ed Steele: And my second question is on Boost, about why you're not going to keep pressing on with the marketing...
Brian Cassin: Yes, sorry, apologies, we should come back to that. Or do you want to deal with that?
Lloyd Pitchford: When you look at it year-on-year -- we actually started the launch program in March. So we had about $10 million of launch costs in March and at $20 million in Q1 this year. So when we go into the second half, we don't really need the launch costs, and we lapped some of the launch costs last year. So we're also -- once you get something like this, the momentum building, you're able to use the benefit of the launch that you've already got going in terms of awareness and rely much more on digital and much more on CRM. So that's really what's driving that.
TomSykes,: Tom Sykes from Deutsche Bank. Just if you could help us on maybe, ballpark, the revenue contribution from Ascend, maybe half year this year and half year last year, please? And then does that have a different working capital dynamic as well? So just thinking about your billings, and is that more upfront payment for you? And then on the identity business, the pricing in identity. Is there any signs of a little bit more price competition there? And again, what are the working capital dynamics on that business?
Lloyd Pitchford: So I'll start with identity, no change to the average revenue per member. If anything, it's slightly up. In our direct-to-consumer subscription businesses, those are positive in terms of working capital, the lead gen businesses are a little bit negative just given the cycle. On revenue from Ascend, on average, the contracts are about five years. So you take the TCV, divide it by five, and you get on average about the current year revenue. So you can see the circa 250 this year as a whole will be approaching $50 million of revenue, that's a good guide.
TomSykes: Just a final question on the CapEx. How much of the data costs are personnel costs that maybe, in the long run, automation is going to keep those fixed? Because, obviously, they've been fixed for quite a long period of time and presumably, is going to fix a level of depreciation you see, which is then giving you operational leverage? So will we at all ever see the CapEx on data go up? Or is that something you think you get an ongoing automation benefit that you obviously then are reinvesting in other areas?
Lloyd Pitchford: So the majority of the data costs is in Brazil and relates to the acquisition of some of the negative data in the environment. There is some element of internal costs there, but it might reduce marginally, Tom, but I wouldn't expect it to be a big factor. The biggest factor in CapEx will be our continued investment in product development.
Tom Sykes: Okay. So if we don't see that in data, we will continually see a rise in the internally-generated software line, that's where it will come up as you report it, whether that's the right...
Lloyd Pitchford: That's the right way to think about it, yes. And if you're doing comparisons versus our peers or us versus history, if you look back, we've been as high as 11%, as low as 7% in terms of CapEx. So 9% to 10% is kind of our long-term range. Comparing to the competitors, we capitalize data, they don't. So you have to take 2% to 3% off that. So like-for-like, we're kind of 6% to 7%, and they're anywhere between 8% and 12%.
Tom Sykes: Is it right to call that software, all of that cost?
Lloyd Pitchford: I'm sorry, I didn't hear that.
Tom Sykes: Is it right to call all of that, what was internally generated, software, but is it right to call all of that software? Or are there other things that are going into it?
Lloyd Pitchford: Software and the platforms that facilitate our business. So add the infrastructure to build a new bureau in Brazil to gradually replatform our other bureau businesses, that -- those are all the things that we're spending money on. A question in the front here.
Anvesh Agrawal: This is Anvesh from Morgan Stanley. Just two quick ones. First, coming back on to the U.K., you called out some cyclical weakness in the marketing business in the statement. Have you seen any signs of that in your other regions, maybe it's not significant to call it now, but any early signs that you're seeing some cyclical weakness in other parts of the business? And second, just from a modeling perspective, to hit your margin guidance for the full year or the EBIT guidance for the full year, you need probably an acceleration into the 50 basis points of leverage you got in first half. Maybe if you can just talk about what are the building blocks and where you will get it from.
Lloyd Pitchford: So sorry, the margin question, do we see upside to the guidance?
Anvesh Agrawal: No. So to hit the EBIT growth at or above the revenue growth, you probably need an exploration of 50 basis points of leverage you got in business performance that you called out on Slide 22 in second half and probably where will that come from?
Lloyd Pitchford: So I think the way to think about it is, we don't have the drag on the launch costs of about $20 million in the first half, we also don't have the $10 million of launch costs that we had in March on Experian Boost. And then if you look at the mix of growth, we're obviously growing more strongly in North America and in Brazil, which are higher average margin. That, plus the momentum in the business, really gives us the confidence. And I think you've seen for the last few years, we have a lot of levers on investment and the choices we're making in the group to give confidence around how we guide to margin. On marketing, there are a couple of different effects. We're still lapping in some regions, the loss of the Facebook contract. We called that out to you and it kind of drops out of the numbers in different places. But the U.K. marketing business was certainly a bit weak, and that's probably more isolated to the U.K. business.
Brian Cassin: Okay. We've got 1 more question from Ed, who obviously didn't get all of his questions in last time around.
Ed Steele: Thanks. So yes, I did two questions. I did have a follow-up. So I've just -- you've described the momentum of the group is accelerating. And clearly, you've raised the guidance for the full year. But if you strip out the one-off data breach revenue in the second quarter, it looks like the growth was fairly similar to the first quarter. Is that fair?
Lloyd Pitchford: So we were 6% in the first quarter. In the second quarter, we would have been 7% without the breach revenue. If you then go into the third quarter, we obviously lap just under 1% headwind from the one-off breach that we had last year. So if we're in the 7% to 8% range, you strip that out, we'd be probably more in -- at the top end of that range without that, and that really underpins the guidance that we've got. It was a very strong 7% in the second quarter, Ed.
Ed Steele: Okay. So I just calculated about $17 million benefit from the breach, that's all. I may have my maths wrong.
Lloyd Pitchford: Yes, it was about $9 million.
Brian Cassin: All right. Well, I think we'll bring that to a conclusion. Thank you very much for attending today, and we look forward to seeing you in May and talking to you in January. Thank you.